Operator: Greetings and welcome to ChipMOS Bermuda Ltd. Fourth Quarter and Fiscal Year 2012 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce David Pasquale of Global IR Partners. Thank you Mr. Pasquale, you may begin.
David Pasquale: Thank you, operator. Welcome everyone to ChipMOS' fourth quarter 2012 results conference call. Joining us today from the company are Mr. S.J. Cheng, Chairman and Chief Executive Officer; and Mr. S.K. Chen, Chief Financial Officer. S.J. will review highlights from the quarter and then provide ChipMOS' business outlook, S.K. will then review the company's key financial results. We will then have time for any questions. If you have not yet received a copy of today's results release, please email Global IR Partners at imos@globalirpartners.com, or you can get a copy of the release off of ChipMOS' website, www.chipmos.com. Before we begin, we must make a disclaimer regarding forward-looking statements. During this call, management may make forward-looking statements within the meaning of Section 27A of the U.S. Securities Act of 1933, as amended, and Section 21E of the U.S. Securities Exchange Act of 1934, as amended. Such forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual performance, financial condition or results of operations of the company to be materially different from any future performance, financial condition or results of operations implied by such forward-looking statements. Further information regarding these risks, uncertainties and other factors is included in the company's most recent annual report on Form 20-F filed with the U.S. Securities and Exchange Commission, and in the company's other filings with the SEC. I would like to now turn the call over to Mr. S.J. Cheng. Please go ahead, sir.
S.J. Cheng: Yeah, thank you, David. Welcome everyone to our fourth quarter 2012 conference call. Hopefully, you've all had time to review our earnings release. We are pleased with the performance we met in 2012, we continue to execute our higher margin opportunity, including our leading position in the LCD driver, assembly and test market. We continued to grow by increased share with leading DRAM companies, while maintaining a disciplined CapEx approach. We accomplished a great amount in 2012, and are optimistic about 2013. As we continue to strive for improvement in the business fundamentals, and the capacity enhancements to secure our long-term success. I will review -- we have high confidence in our outlook given our market leading position and financial strength. We tend to benefit from (inaudible) direct to our business, and from [further] market improvements. Overall, we in fact want to be the (inaudible) from a revenue standpoint. We expect to see sequential improvement in the quarterly revenue, as we move through the year, with the full year 2013 coming in higher revenue than in fiscal year 2012. Other high points, including our famous positive net cash position in January. This is the first time in the company history, to reach such an important milestone of the financial health. In terms of our specific results, revenue for the whole quarter was US$167.6 million, down 5.3% again to Q3 '12. Gross margin for the whole quarter was 15.3% in Q4, as compared to 18.6% in Q3. Revenue for the full year 2012 was [US$331.6] million, an increase of 5.5% compared to 2011. Gross margins was increased to 13.6% for the full year 2012, as compared to 8.8% in 2011. In terms of the product segments, our LCD driver IC business was flat in Q4, compared to Q3, and bumping business was up 0.8%. Our DRAM and Flash business decreased 8.9% and 5.6% respectively in Q4, as compared to Q3. Our mixed-signal business was down 18.8% in Q4, as compared to Q3. This (inaudible) continued to make headwinds in the semi industry. The one effect is the (inaudible) demand, which is expected to continue to grow into Q1. Of note, we end the year with US$320.8 million in cash and cash equivalents. This is up from US$253.3 million in 2011, and also we're repurchasing US$10.4 million of our share and paid our first annual dividend in Q4 of US$0.14 per share for a total cash cost of US$4.0 million. We also further paid our debt down by another US$13.1 million. And in 2012 we paid total tax of US$321.3 million, as a result, we improved our net debt to equity ratio to 0.1% as at year-end as compared to 22.6% at the end of 2011. We remain committed to delivering further improvement in 2013. As we remain focused on strengthening our financial health and overall business trends. Let me now turn to our first quarter outlook. As I noted a minute ago, we expect revenue in Q1 to be [positive] with sequential quarterly growth through the balance of 2013. Specifically, we expect revenue for the first quarter of 2013 to be down 9% to 10%; to 13% as compared to fourth quarter of 2012, with the gross margin on a consolidated basis in the range of 10% to 14%. Our LCD driver business including bumping remained strong and is expected to be flat or up slightly in Q1. [Refreshing] is a rarity of semi industry, our memory and mixed-signal business, especially (inaudible) business are expected to be decreased 15% to 20% in Q1 2013. Before I turn the call over to S.K., I want to spend a couple of minutes to discuss some recent business developments. Personally, I believe most of you know that our largest memory customer, (inaudible) has co-ordered from (inaudible), to acquire a feeder at one of its subsidiary. While we do not have a prior realization with [our feeder], we are beginning to see this market consolidation and congratulated our customer on its success. This will affect the regularized supply status and help to double the DRAM spot price, since end 2010. The DRAM market appears to be moving into a period of increased price stabilization and growth. This is (inaudible) by several [papers], including capacity utilization I just note. While the improvement in the demand and supply balance; (inaudible) improving. As to market confidence in the DRAM market with bump, another big (inaudible) is the movement from PC into higher growth segments, led by tablets and smartphones. Research firm iSuppli, forecast the combined share of the mobile handset and tablets in the DRAM market, to nearly double to about 27% by end of 2013 compared to about 14% in Q1 2012. iSuppli also note that the tablet consumption on NAND [price] is estimated at 2.3 billion gigabyte in 2011, and NAND price estimate for tablet are forecast to grow to 12.3 billion gigabytes in 2014. For ChipMOS this positive trend does reinforce our business strategy and capacity roadmap. We are positioned to benefit from both the improvement in pricing and potential increased values for commodity de-risk, NAND price, and mobile DRAM, and the memory customer that we do work with, as a result, our strategy for the DRAM segments and our customer sales, both remain on target and unchanged. Secondly, our Board has also authorized us to US$7.5 million for common share repurchase means. Under the new repurchasing program, thus the company intend to [effect] in the second quarter of 2013. This follows the US$10.4 million repurchasing program we completed in 2012. The new program, underscores our belief in the company's financial strength. Continuous long term growth prospective, and our Board of Director have tremendous commitment to increase shareholder value. Thirdly, given our huge potential for healthy outlook, our customers (inaudible) positive forecast, our board approved to add additional capacity in support of new growth opportunities, thus we have already identified. Importantly, we are committed to enter the new opportunity, with our US$100 million purchase in 2013. This would be a slight increase over to our 2012 CapEx spending of US$95.6 million. For giving you some additional color, we (inaudible) to make a strategic investment to build 80,000 wafer per month capacity of 12-inch gold-bumping manufacturing facility, and a new assembly capacity for MEMS, which is a wafer-level CSP packaging. In certain LCD driver testing capacity, we in fact had a new LCD driver testing capacity online in the first half of 2013, and the remainder (inaudible) by the second half of 2013. We are pleased to share with you that the wafer level CSP capacity we added in 2012 is running in mass production in Q1 2013. We anticipate that this will allow us to capture additional revenue in the mixed-signal segment, which is tied to growth opportunity related to smartphone and PC applications. Finally, I would like to share with you exciting developments in our financial. As noted earlier, we achieved a net cash position in January 2013. It was the first time in company history, this come after dedication at all levels of the company, as we did this we had successfully turned the company into the market leader, and this comes after paying our first dividend in 2012, after completing our first repurchasing program and after further payout [income]. Similarly, ChipMOS is in excellent financial position to capture new business opportunity, and we remain committed to carefully manage our balance sheet moving forward. We are pleased with our 2012 performance and our business perspective in 2013. In addition to above, another exciting development I would like to share with you, is that the Board has approved planning for listing our subsidiary, ChipMOS TECHNOLOGIES INC. on Taiwan Emerging Stock Market. We anticipate the listing on the emerging market to be accomplished in the second quarter of 2013. We are excited and thank the Board and investor for continuous support. We continue to execute our near and long term business strategy. We have a leading position in strengthening LCD driver business. We expect to have stability coming in the memory side, with it improving in both capacity and prices. Our customer performance are also strong and expected to grow, and we are simultaneously benefitting from our support of their growth. Let me now turn the call over to S.K. to review the fourth quarter financial results.
S.K. Chen: Thank you, S.J. All dollar amounts cited in our presentation are in U.S. dollars. We have provided both U.S. dollars and NT dollars in our press release. The following numbers are based on the exchange rate of NT$29.05 against US$1 as of December 31, 2012. As S.J. has just reviewed our revenue and margins. I will provide details on the rest of our Q4 results. Net income for the fourth quarter of 2012 was $8.7 million and $0.31 per basic, and $0.30 per diluted common shares, compared to net income of $12.6 million and $0.46 per basic and $0.45 per diluted common share in the third quarter of 2012. Excluding foreign exchange loss of $3.2 million, our Q4 net income was $11.9 million and $0.42 per basic and $0.41 per diluted common share. Our operating expense in Q4 was $10.8 million and other operating income was $0.8 million. Non-operating expense in Q4 was $5.6 million, including foreign exchange loss of $3.2 million and net interest expense of $1.5 million. Income tax expense in Q4 was $0.7 million. On a segment basis, Q4's revenue breakdown was 29% in testing, 31% in assembly, 24% in LCD driver IC business and 15% in bumping. Total capacity utilization was approximately 74% for the fourth quarter, compared to 80% for third quarter of 2012. The capacity utilization on a segment basis was 58% for testing, 59% for assembly, 81% for LCD driver IC and 81% for bumping. CapEx for Q4 was $20.3 million. The breakdown for CapEx for the fourth quarter was 23% for testing, 15% for assembly, 21% for LCD driver IC and 41% for bumping capacity. CapEx for the full year 2012 was $95.6 million as expected. As always we are working to further increase equipment utilization levels, further improve factory efficiency and continuing our cost reduction programs. We continue to successfully replenish the need to have the right capacity online to support customer demand and expected program range. Depreciation and amortization expenses were $32 million or approximately 19.1% of revenue in the fourth quarter. Importantly, it is a reduction of $5.5 million from Q3. EBITDA for Q4 was $48.1 million or 28.7% of revenue. EBITDA was calculated as earnings before income taxes, foreign currency gains or loss, net interest expenses, depreciation and amortization expenses and special charges. While EBITDA is not defined by generally accepted accounting principles, we believe it is a helpful way to measure our financial strengths. We ended the year with a balance of cash and cash equivalents of $320.8 million, compared to $259.5 million at the end of Q3. Our ability to maintain a healthy balance sheet has allowed us the flexibility to support customers in the programs that would drive our growth and to continually pay-down our debt and as S.J. noted, this allowed us to declare and pay our first cash dividends of $0.14 per share for a total cash cost of $4 million in Q4. We repurchased 71,000 shares valued at $10.4 million under our initial purchase program, and will further pay our debt down. After this program, we are available to achieve a positive net cash position in January for the first time in the company's history. Our total short-term debt including current provisions of long-term debt was $89.3 million at the end of the fourth quarter 2012, as compared to $96 million at the end of the third quarter 2012. Long-term debt was $232 million at the end of fourth quarter, as compared to $217.1 million at the end of third quarter. At the end of 2012, our total debt was reduced to $321.3 million, with the cash position (inaudible) outlook, we achieved the improvement to reduce our net debt to equity ratio to 0.1% as of December 31, 2012, compared to 22.6% at the end of 2011. Total as S.J. mentioned, as part of our ongoing effort in maintaining excellent financial position, we remain committed further reducing our debt level and enhance shareholder value going forward. Our account receivables day sales outstanding in Q4 was 78 days as compared to 73 days in Q3. The increase was due to our lower revenue in Q4. Inventory turns were 38 days in the fourth quarter, as compared to 38 days in the third quarter. Our interest expense was $1.9 million in the fourth quarter as compared to $1.8 million in the third quarter. We generated $24.5 million of free cash flow in Q4, which was calculated by adding depreciation, amortization, interest income together with operating income and then subtracting CapEx, non-controlling interest expense and income tax expense from the sum. For the full year 2012, we generated $99 million free cash flow from our operations. We remain committed to meeting our financial goals, which includes disciplined CapEx spending and generating positive cash flow. Before turning the call over to Q&A, I would like to add to what S.J. has already mentioned. We are excited with this opportunity given by our Board for preparing our subsidiary's (inaudible) and to Taiwan Emerging Market net (inaudible). We continue to view this as an excellent opportunity to further realize the inherent values of our company, based on the rating of similar companies in our sector. We are engaging with underwriters and are working to finalize the process. We currently are working to achieve an initial listing of shares on the Taiwan Emerging Markets in the second quarter 2013. We are committed to push forward to list ChipMOS (inaudible) on to the Taiwan Main exchange market at the earliest available timeframe. We believe, our efforts can help increase the valuations for shareholders. We will continue to update you on the different projects, as we continue to move forward. Operator, this concludes our formal remarks, we can now take questions.
Operator: Thank you. We will now be conducting the question-and-answer session. [Operator Instructions]. Thank you. Our first question is coming from the line of Tim Arcuri with Cowen and Company. Please state your question.
Ken Lee - Cowen and Company: Good evening guys. This is Ken Lee for Tim.
S.J. Cheng: Hi Ken.
Ken Lee - Cowen and Company: First question is on Q1 seasonality. It seems a little bit worse than normal, could you give us a little bit more granularity on kind of what segments or customers were worse? And then also, what gives you the confidence that Q2 and the subsequent quarters will be up sequentially?
S.J. Cheng: Yeah, this is S.J. Ken, to answer your question, I think in Q1, especially for capturing business, is worse than earlier, especially in NOR and (inaudible) areas. And regarding the LCD drivers (inaudible) and in the second quarter, we already see a very strong recovery from our customer orders. So we have strong confidence that we can see a very good recovery in the second quarter, which is over two digits growth in the second quarter, based on our current forecast.
Ken Lee - Cowen and Company: Okay. Then for Q1 gross margin guidance, what factors in terms of how do we think about whether you can actually -- at the high end or the low end and kind of what plays into that?
S.J. Cheng: I think it’s a mid to little bit higher.
Ken Lee - Cowen and Company: I guess, in terms of the 10% versus the 14%, how do I think about what needs to happen for you guys to reach the high-end of that guidance versus the low end? Is it based on LCD being stronger or test and recovery more?
S.J. Cheng: I think LCD was more stable, and assuming either [Q1 or Q2].
Ken Lee - Cowen and Company: Okay. Then for S.K., just how do I model tax for Q1 in 2013?
S.K. Chen: Okay. For the cash expense, we in our calculation, it's about $2.5 million for Q1.
Ken Lee - Cowen and Company: Okay. Thank you guys.
Operator: Thank you. Our next question is coming from the line of Scott Bishins with Caffeine Holdings. Please proceed with your question.
Scott Bishins - Caffeine Holdings: Yeah, hi S.K. and S.J., by the way you are off to a great year, and looking forward, very happy to see that we are going to end up in a single company, which will simplify the corporate structure. So again, a great year. Just have a couple of questions here. Maybe S.K., maybe you can give us an understanding on how the -- what kind of calculations that use for the IPO pricing on the Taiwan exchange, and are those calculations, are they based upon the peers competition in Taiwan?
S.J. Cheng: Yes, as we -- I think we use some variables and markers for our variations. Actually, the valuation -- I would say, the valuation is pretty close to our peers in the sector, based on the EPS, and our EPS in 2012 and looking forward to EPS in 2013. But you know that for the Emerging Market listing this year, with (inaudible) from liquid discounts, since liquidity is not (inaudible) and the trading liquidity is not (inaudible) on the Emerging Markets. So I would say, variation is fair, but we need to provide some discount to the underwriters.
Operator: Thank you. Our next question is from the line of Richard Shannon of Craig Hallum Capital. Please proceed with your question.
Richard Shannon - Craig Hallum Capital: Hi S.J. and S.K. how are you?
S.J. Cheng: Very good Richard.
S.K. Chen: Very good.
Richard Shannon - Craig Hallum Capital: Good, can you hear me well, I am calling from the cell phone, can you hear me okay?
S.J. Cheng: We hear you okay.
Richard Shannon - Craig Hallum Capital: Okay great. Thank you. Let's see here, going to ask a follow-up on one of the previous questions regarding first quarter seasonality. I think S.J. you mentioned some weakness in the NOR and mixed-signal if I heard you correctly. Does that mean you are not expecting weakness in DRAM or can you be more specific on your DRAM business in the first quarter?
S.J. Cheng: Yeah, actually there is the impact in [Asia]. We had some customers, with reliable (inaudible) who has provided foundry service for them. By history, you may know, (inaudible) already tried to sell all the equipments, so they are -- shortage on the wafer supply. So that's limited our Q1 demand. After they emigrate to other foundries, I think this business will be recovered in (inaudible) time. Regarding low price and mixed-signal, that's consistent (inaudible) with the market, making headwinds in the semiconductor. But LCD driver is really strong, even in February, we made a (inaudible) Q1 -- almost flat compared with Q4 last year.
Richard Shannon - Craig Hallum Capital: Okay. And then following-up on the growth story throughout the rest of the year, you said in your press release, you expect to grow some in 2013, even this first quarter starts for the year, by our kind of back of the envelope modeling, you got to have some fairly strong and certainly better than normal seasonality quarters, probably in the second and the third, double digits. Are we modeling this correctly, can you give us a sense of what's driving this, and I guess specifically, I'd like to know whether there is any other unique or initial projects that we are not necessarily aware of, that can be driving that?
S.J. Cheng: Let me answer your question. Year 2013 compared with 2012, the first quarter (inaudible) and second quarter is much stronger, compared with expected. This slot will be bigger than 2012. In Q3, we are also very optimistic. Q4, right off the base of our product segment and new products in the (inaudible) program. I think that we will be a better (inaudible) compared with last year. So that's a -- we had a communist labor to deliver in the market. 2013, we will be trying overall higher revenue than full year 2012.
Richard Shannon - Craig Hallum Capital: Okay. Couple more questions from the -- on the next one, I guess on the Taiwan listing. I think on your last conference call, you were hoping to see this accomplish during this first quarter, and you are expecting some time next quarter. Can you give us a sense of why it's running behind schedule, just due to the regulatory red tape you have to go through, and in any more precision, you can tell us about when we could to expect to see it in the second quarter?
S.K. Chen: Okay. For this Emerging Market listing, we spent some time to discuss valuations and we also have a much -- take a longer time to discuss with our underwriters. So it delays about one month and in my schedule it's about one month late. So we hope that we can have the project done by the end of April.
Richard Shannon - Craig Hallum Capital: Okay.
S.K. Chen: I don't think that it is too much time, and I would say that we can catch-up guidance to list the company on to the main exchange market.
Richard Shannon - Craig Hallum Capital: Okay. And S.K. you expect a number -- any analyst coverage? I think you said you mentioned underwriter, which I am assuming would be supported by any analyst coverage, any other analyst you expect to cover when it's in Emerging Markets Exchange?
S.K. Chen: I would think so. Yes I have talked to several analysts in the market. They say that since that day will be a trading time. So that was -- initial research reports are [based on the] year, the trading situation and also the company submitting the status. So, I feel that we will get some research coverage probably from Taiwan.
S.J. Cheng: This is S.J., just to answer your question. I think ChipMOS, we have a very big exposure in LCD driver market share in Taiwan, and also is a player in low price and DRAM makers. So a lot of research analysts are quite interested about that. They are waiting for the progress, after we list in the Emerging Markets, we have more liquidity and also have leverage price, so they can have more information. I think after we complete the listing in the emerging markets, we can have more research coverage from Asia-Pac.
Richard Shannon - Craig Hallum Capital: Okay great. Then just last one, last question, and I will jump in the line. You have given us kind of a starting point to think about revenue growth in 2013. Can you help us with some of the other key financials, I think everyone is asking or wondering about like, gross margin depreciation, you told us about CapEx and then any initial thoughts on your expectations for free cash flow this year?
S.J. Cheng: Richard, normally we don't give whole year's guidance. We just give quarter-by-quarter. But I can tell you that management had (inaudible) for 2013, is better than 2012, both in revenue and gross margin. The gross margin is mainly coming from disciplined CapEx spending that we had for the memory equipment (inaudible), that will give us better product mix.
Richard Shannon - Craig Hallum Capital: Okay. All right, thank you very much guys, I will jump on the line.
S.J. Cheng: Thank you.
S.K. Chen: Okay. Thank you.
Operator: Our next question comes from the line of Brian Grad of DLS Capital Management. Please proceed with your question.
Brian Grad - DLS Capital Management: Hi guys. Not so much of a question, it's just compliments on a great year. First quarter was soft in terms of the new year, but I am very-very happy with what you guys are doing, and I just want to get that on the wire that, we are very pleased and keep up the good work. That's it.
S.J. Cheng: Thank you for your encouragement. We are [keeping doing so].
S.K. Chen: Thank you.
Operator: Thank you. [Operator Instructions]. Thank you. Our next question is from Brad Adams of Chilton Investment Company. Please proceed with your question.
Brad Adams - Chilton Investment Company: Can you just give a quick comment on the FX impact for the first quarter, it has been a pretty sizeable move and I'm wondering if -- as the quarter closed today, what the impact would be?
S.K. Chen: I think for the first quarter 2013, it will be positive. In the first two months, we have roughly $3.2 million foreign exchange gains, and we expect that we will (inaudible) in March. So that will be positive.
Brad Adams - Chilton Investment Company: And what was the impact in the December quarter? There's obviously a loss, but what was it exactly?
S.K. Chen: Well, it's about $3.2 million in foreign exchange loss in Q4. That's because we receive the US dollar payments from our customers. So pretty naturally, we -- in [ARPU], we take a natural hedge. So inevitably, we have to absorb this loss.
Brad Adams - Chilton Investment Company: Okay, so to recap, the fourth quarter was a loss of 3.2, and first quarter is really positive to some, probably north of 3.2?
S.K. Chen: Yes.
Brad Adams - Chilton Investment Company: Okay. Thank you.
S.K. Chen: Thank you.
Operator: [Operator Instructions]. Thank you. There are no final questions at this time. I would like to turn the floor back to management for closing comments.
S.J. Cheng: Yes. Thank you everyone to join our quarterly conference call. Management team is committed, we are working hard and keep striving for our business improvement. Thank you very much. Bye-bye.
S.K. Chen: Thank you. Bye-bye. Have a nice day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. We thank you for your participation.